Operator: Good morning, ladies and gentlemen. Welcome to the PostNL Q1 2025 Results. At this moment, all participants are in a listen-only mode. And after the presentation, there will be an opportunity to ask questions. Now I would like to hand over the conference call to Ms. Inge Laudy, Manager, Investor Relations. Please go ahead, madam.
Inge Laudy: Thank you, operator and a warm welcome to all of you in the call and here with us in the Hague [ph]. We have published our Q1 2025 results earlier this morning and we will explain the set of results to you in this analyst call. With me in the room are Pim Berendsen, our CEO; and Linde Jansen, our CFO. Linde will present the results to you. Afterwards, Pim and Linde will answer all your questions. Linde, over to you. Go ahead.
Linde Jansen: Thank you, Inge and good morning and welcome to you all. Nice to be here for the first time and happy to talk you through the first quarter results. Let's start with the key takeaways of our Q1 results. Our Q1 results developed as anticipated and landed below last year's results. Our outlook for 2025 is unchanged. On the recent developments of the global trade and tariffs, it is too early to have a clear view on potential consequences but I will come back to that later in the presentation. The main drivers for the Q1 performance were as follows; revenue at Parcels were up by 3.5% with a volume growth of 2%. And also this quarter, we saw again strong growth from the large international customers. On the mail side, volumes declined by almost 7%, mainly due to ongoing substitution. Also in 2025, we expect to see a significant organic cost increase, €31 million in quarter 1 which was mainly labor related, in which on a positive note, has been fully offset by price increases. If we look on the right side at the segments from a more strategic point of view, then for Parcels, I would want to emphasize that we are fully focused on the initiatives which we announced in February. The implementation is progressing according to plan and the first positive signs from our targeted yield measures are visible. On the mail side, we see a further significant step down in results, mainly explained by the volume by the ongoing volume decline. We have successfully started the transition of business mail towards standard delivery within 2 days. As you know, current postal regulation prevent us from further adjusting our business model. As long as adjustments to the universal service obligation are pending, measures such as stamp price increases are inevitable. Now that we expect that the outcome of the ACM study will be ready later in May, we are encouraging government to take next steps in a parliamentary debate later before the summer. Let's move on to our key metrics. Let's start with the financial KPIs. Revenue in the quarter amounted to €782 million which is 2% higher than in the quarter last year. And we see normalized EBIT at minus €15 million which, as I said, is in line with our expectation and mainly driven by the Mail segment which I will elaborate in more detail later on. Free cash flow amounted to minus €33 million and also that I will explain later on. And then a normalized comprehensive income of minus €10 million. We discuss the results in more detail as we move on to the performance of Parcels and Mail in the Netherlands in a bit. And also the nonfinancial highlights and some other ESG highlights for this first quarter. We are proud to mention that we received the Platinum Award from EcoVadis. We achieved a solid often excellent score across all criteria. And what's particularly remarkable is that we scored 100 out of 100 points in the environmental category, a fantastic achievement for our company. Besides this, we also took our first roll page tilters in use this quarter, supporting our people in their daily physical heavy activities in the depots. In the next few months, more filters will be installed. We also saw an increase again in the amount of PostNL accounts. This is of strategic importance as these accounts provide us the possibility to reach consumers and obtain information from them, for example, when it comes to delivery preferences. The out-of-home strategy is gaining momentum as evidenced by a steady increase of customers adding out-of-home options in their checkout and more consumers adding APL delivery as preferred option in the PostNL app. Let's move on to the segments for a more detailed explanation of the developments. And I kindly remind you that as of the 1st of January this year, our real estate activities are reported in the segment parcels. The 2024 numbers have been restated to provide a like-for-like comparison. Let's start with Parcels. Revenue for Parcels amounted to €581 million which is €20 million or 3.5% above last year, following volume growth, price increases and mix effects. Good to know that market share remained more or less stable. Overall, our volume grew by 2%. Volumes from international customers continued its strong growth and were up 19% compared to last year. On domestic side, the volumes were down by 2.4%. In addition, volumes this quarter were impacted by a different distribution of working days in the first week of the year and the timing of festive days compared to last year. The volume developments impact the composition of our portfolio, resulting in further client concentration with increasing share of volumes from large players, domestic as well as international but also platforms and marketplaces. With that in mind, it's encouraging to see that the total price/mix impact was positive this quarter. The average price per parcel was up by $0.03, supported by targeted yield measures and regular price increases. Furthermore, it is positive to note that our cross-border activities continue the trend we have been seeing for several quarters now, with revenues at Spring being up this quarter, most strongly in our intra-European activities, a promising development as international growth is one of our strategic initiatives. The cost reflected significant organic cost increases, on the one hand, mainly related to labor. However, we also see the impact from efficiency improvements from network optimization and rationalization of services. For example, we stopped with parcel delivery on Sunday and furthermore, our out-of-home delivery contributed to the savings. Let's zoom further in on Parcels with the normalized EBIT bridge. Here, you see the reconciliation of the EBIT from €5 million last year to €3 million this quarter. The volume growth strongly contributed to our results, though it was fully offset by the less favorable product customers' mix referred to earlier. The organic cost increase amounted to €15 million following wage increases, according to PostNL and the sector collective labor agreements and indexation for delivery partners. As you can see in the bridge, the impact from our price increases was also €15 million. So we were able to fully close the gap between organic cost increases and pricing. The other costs were €9 million better, mainly as a result of operational efficiency measures and the implementation of the strategic initiatives as announced earlier this year. The other results are down due to various smaller items. Then the segment Mail in the Netherlands. The revenue for Mail amounted to €309 million, a significant decline compared to €318 million last year but in line with our expectations. The volume decline of close to 7%, 6.9% to be precise, this quarter was mainly related to substitution, a structural trend which we are seeing for a while now. We also noted a further shift to non-24-hour mail. Furthermore, our revenue was supported by 2 stamp price increases, one in July 2024 and in January '25. Looking at cost, labor costs were up following the CLAs for PostNL and mail delivers and sick leave rates remained high in this tight labor market. These cost increases were mitigated by cost savings of €7 million from further adjustments in our current business model, such as the transition of business mail towards a standard service framework of delivery within 2 days. Altogether, this resulted in a normalized EBIT of minus €18 million, a significant step down of €10 million versus last year's quarter, proving that the current model -- business model for mail is not sustainable. Then let's zoom a bit further towards Mail with the normalized EBIT bridge. The elements of Mail I just discussed are reflected here. The bridge shows the step down of €10 million from the reported 7% volume decline. And you see a negative mix effect of €3 million, mainly driven by the further shift to 24-hour meal which I mentioned before. The stamp prices I referred to added to €13 million of revenue and the organic cost increases of €8 million were due to wage increases and other inflationary pressures. You then also see here reflected the cost savings of €7 million which were fully offset by additional labor costs related to cities and lower bilateral results. Then moving on to cash flow. The free cash flow for the quarter was minus €33 million compared to minus €7 million in the same quarter last year and in line with our expectations. The difference is mainly explained, of course, by the lower normalized EBIT result but also by the negative working capital development coming from expected phasing effects within the fourth quarter of last year. This brings us to the next slide, where you can find the balance sheet and the development of our adjusted net debt position. Our adjusted net debt position in quarter 1 was €509 million which is an increase of €35 million compared to year-end '24, being mainly explained by the negative free cash flow and the addition in the GGA provision. We continue to manage our cash flow, balance sheet and net position carefully following our aim to be properly financed. Then over to the split of normalized EBIT over the quarters. As mentioned during our full-year results in February, in 2025, normalized EBIT has to be earned in Q4 even more than in 2024. The impact of pricing will be larger in Q4 than in the other quarters. And when looking at Q1 -- when looking at the results of Q1 2025, the results came in as expected, as I just mentioned. Overall, the working day distribution over the quarters in 2025 is slightly different than in 2024 which also impacts the quarterly split. For the remainder of the year, for Parcels, you should take into account that the announced yield measures are expected to come into effect as of the second quarter. And for Mail in the Netherlands, please remember that in 2024, we had election in the second quarter. For this year, no elections are scheduled. In this quarterly split of EBIT, the impact from the structural cost savings for both Parcels and Mail in the Netherlands is included. In the graph on the right side of the slide, you can see the indicative phasing for the savings. Obviously, the phasing is related to timing of some of the underlying measures. For example, in the course of Q1, we adjusted the process of collection from our orange mailboxes. These kind of changes in processes need some time to fully settle. And some of the savings are a bit tied to the absolute volumes, of course, also impacting the distribution over the year. Then over to the outlook. Of course, we have to acknowledge that the recent developments around global tariffs resulted in more uncertainty and volatility. It is too early to have a clear view of the consequences for the e-commerce market, such as a potential rerouting of Asian volumes from the U.S. to Europe or a slowdown in GDP growth. We keep monitoring recent developments closely and are prepared to swiftly adjust plans if necessary. And as said before, the pace of client concentration due to changing consumer behavior is difficult to predict. That being said, our outlook for 2025 is unchanged. We expect normalized EBIT to be in line with 2024 performance. Free cash flow is expected to be negative as, for example, CapEx will be above the level of 2024, including around €50 million cash outflows related to the strategic initiatives announced at the beginning of the year. On the right side, on the dividend element, I want to emphasize our intention to pay a dividend over 2025. We hold on to our aim to be properly financed, taking into account the anticipated improvement in performance going forward and the progress towards a future-proof postal service. And lastly, good to add that the normalized comprehensive income which is, of course, the basis for the amount of dividend to be paid is expected to follow a pattern that is more or less in line with 2023. And lastly, before we close our presentation and open up for questions, as announced in February, we will host a Capital Markets update in September. We will then elaborate on how we see the e-commerce market going forward based on market dynamics that we have seen and will continue to see. And we will provide you further details on the strategic adjustments. Also, we will give an update on the future-proof postal service at that point in time. Based on all that, we will provide the market with a medium-term financial guidance for PostNL. Together with Tim, I'm looking forward to meet you all then and have the discussion with you at that point in time. For now, I would like to conclude the presentation and hand back to you, Inge.
A - Inge Laudy: Thank you, Linde, for your presentation. We now open up for Q&A. Let's start with the analysts here in the room. And after that, we will switch to the people online. So first, Mark?
Unidentified Analyst: Yes. Yes. Just discussing the comprehensive income to follow the path as seen in 2023. What does it exactly mean? Because I don't have those numbers in front of me. Does it mean that we have the same development through the year or so in 2023 or the same number as in '23 -- what does it?
Pim Berendsen: Not the same number, the same pattern, if you look at the development from the deltas from normalized EBIT to normalized comprehensive income, as the pattern of 2023. And in the Q4 deck, there was an appendix slide that kind of indicated that. So the balance between reversals tax positions follows more the flow of '23 and not the specific developments in 2024.
Inge Laudy: As you see on Slide 21 in the deck.
Pim Berendsen: Yes. I look at that we see '23 development. We will just take the slide and comment on it and where are we. On 47 of the Q4 deck, we see that relatively speaking, in 2024, there was only limited income tax effects that follows a bit more the pattern of '23. And there was a positive normalized other comprehensive income element of €8 million in 2024 that we also do not expect in at that level.
Unidentified Analyst: Sorry, are we on slide?
Pim Berendsen: I'm going back to the Q4 deck because there, we had a specific slide that showed both the 2023 as well as the 2024 reconciliation of normalized comprehensive income.
Unidentified Analyst: That is which slide?
Pim Berendsen: 47. The last slide. Last taxes to follow kind of the logic, of course, not the absolute amount but relatively speaking and that the gap, there is a €16 million switch between other comprehensive income '23 being minus €8 million being positive €8 million in 2024, what we do not expect in 2025. Not to that extent.
Unidentified Analyst: Then on the Parcel volumes at plus 2% in Q1 but there was a negative working day impact in there. Can you share us a bit what the trend was, excluding all the working day elements in there? But also can you provide a bit more color what the trend was from, let's say, through the quarter and into Q2, just to get a bit of feel for where we are in April, so to speak, because things have changed, particularly in April, not fully but I can imagine that companies and consumers might have be differently. You're already talking outlook about higher volatility. So can you share us a bit what the trend is there?
Linde Jansen: Happy to take that one. To start with your question on the 2% volume growth and the impact of working days. Well, we can give some color on that, that approximately 2% to 3% impact is expected from the working days. So that would be on top of that if the working days would have been decreased. On the question of what do we see for April? Well, for sure, that is too soon to talk about. I'm not sure if you want to...
Pim Berendsen: No. But what we can say is kind of the development over the months of the quarters, no big changes between the months in terms of composition of volume. And if your last point, Mark, relates to do you already see in volume development terms effects of tariffs in, let's say, given when they were announced. We do not really see a material change there, not in relation to what Asian customers are currently trying to do. They are still seeking ways into the U.S. There's still a fair amount of uncertainty about how the regulation actually works in terms of the de minimis, et cetera. So no change visible there. We do not see a huge inflow of volume to Europe to compensate for a shortfall in the U.S. That's not what we're currently seeing, nor do we see a fundamental change of Dutch consumers and where they spend the money in comparison between March and April.
Unidentified Analyst: So they're not getting more cautious, that's what you basically saying [ph]?
Pim Berendsen: It follows the pattern of the first quarter so far.
Unidentified Analyst: If I may, another one.
Pim Berendsen: And just to be clear, we can only look at volume development, it's the 6th of April of May. So in terms of euros, I don't have a complete view yet.
Unidentified Analyst: Yes. And if you look to the price/mix element, so it was a small positive in Q1 but of course, most of it will come in Q4, as you already mentioned. But the Asian volumes are still growing 19%. So that negative mix element might still be a bit higher than maybe you anticipated at the beginning of the year, when you gave that €55 million to €60 million, if I'm correct, in the case of the positive price mix. So is it still feasible to get to that €55 million to €60 million given the mix trends we're currently seeing and maybe it might even become bigger at the Asian flows because of what's going on in the world?
Linde Jansen: Yes. Maybe to react on that is as also reconfirmed in our outlook which remains -- which remains as is. We don't see in that sense, we don't have a different view on that versus the €55 million to €60 million you are referring to. It's good to note, of course, that we also announced the initiatives of targeted yield measures which will come into play as of the second quarter. And that is also in line with how we anticipated in the outlook. So in short, no change compared to earlier messages there.
Pim Berendsen: And maybe to add, what you can see is potential changes between the separate elements, mix and price and mix between domestic and cross-border but the overall view is exactly, as Linde says, the overall contribution of the components will be comparable. And again, we are not currently seeing additional Asian volume already triggered by tariffs. That's not what we're seeing. Not to say that, that cannot happen but that's not what we're currently seeing.
Unidentified Analyst: I would like to elaborate maybe a bit more on the parcel trends. Because what struck me was that relatively low volume increase but likely that has been due to the working day effect, as you just described, because I had expected it to be higher than your annual guidance. And that's the first question because my sense is that you are a bit more cautious on the outlook, as there are more uncertainties nowadays. But are you still aiming for 1% to 3% volume growth over the year?
Linde Jansen: Yes, I can confirm we still -- as I said, the outlook is unchanged and also that underlying assumption still holds.
Unidentified Analyst: Okay. And then -- well, what you also said is that the impact of yield measures is expected to come in as from Q2. And I presume that we will see the negative impact on the volumes because you anticipated some market share loss. And on the other hand, on the financials and the price -- the impact of price increases that should improve. But how should we see that? Is that a gradual trend over the quarters? Or will there be already something sizable coming into Q2? How should I look at that trend?
Pim Berendsen: Well, I think the reason why we mentioned Q2 indeed as one of the elements that bring our growth expectation below the overall market growth is the renegotiation of terms of some of the bigger clients. I don't want to be too specific. Some of these negotiations is still ongoing which means that as of when they have been concluded, they will come into effect immediately. But then, of course, the impact of those renegotiated terms will be also a function of volume development over the quarters where, of course, you will see impact in Q2 like in Q3 but partly volume dependent which means that the fourth quarter will, of course, still see the biggest in absolute terms impact but not because of the fact that then there are still conversations going on. So you can already see the details of that change by the end of Q2. And then it will mature based on volume division over the quarters of the year.
Linde Jansen: And that's also what you see in that graph skew towards Q4.
Pim Berendsen: And then the impact because that was this quarter impact of price increases was still €50 million which is about in line with previous quarters. And then we should see that going up gradually over the quarters as well.
Unidentified Analyst: Yes. And then a final question from my part about the cash flow, because you managed in Q4 to step up the free cash flow to bring it in the positive territory over the year. And you anticipated phasing and we saw that also in Q1 of this year. But if I would look at a bit more underlying trend, is it then fair to say that it will be on an annual basis, slightly negative up to around breakeven. Is that a fair conclusion? Or am I missing something?
Linde Jansen: Well, I think it's good to bring it back to our outlook where we say what our proposed -- our expected free cash flow will be. And so this phasing effect was foreseen in that and also part of that.
Unidentified Analyst: But the thing is that's clear what you anticipate for the year. But I was just looking at the 2 combined. And then due to the phasing that probably this year's free cash flow is lower than might be if the strong Q4 wasn't there. And that's what I'm a bit looking if I skip out that element.
Pim Berendsen: Yes. I understand what you're trying to do. I think from that perspective, the element is. Then if we would reverse it, then, of course, your delta working capital of 2024 would look more negative than the minus €17 million that we reported by roughly speaking, the amount that you now see as delta which still means that for the entire year, you would get to, if you correct it, roughly speaking, comparable investments in working capital corrected for that phasing effect. So we don't see a fundamental deterioration of improvement of working capital underlying drivers. The only element that you always need to say as kind of a bit of a warning there's not necessarily linear agreements with postal operators in terms of at what moment in time do you settle your terminal due position. So that could vary between the years a little bit, depending on at which point those terminal dues are really due. But we do expect, forget the phasing now, let's say, an investment in working capital in this year to get to the overall free cash flow outlook that we also leave unchanged.
Unidentified Analyst: A few questions from my side. First of all, the -- I'm struggling a little bit with the plus 19% international volumes and the minus, what was it, 2.4%, I believe, my heart on the domestic side. I can imagine if I look at the CBS online spending figures which were published last Friday, then I see positive growth but it was especially in food. So that's not your core business. I understand that. So the market has grown. Where do you see -- what was the main trigger for the international growth at the 19%, was still the Chinese platforms? And if so, then I was positively surprised about the improvement of the average value per item which was $0.03 higher than it was last year. Perhaps you can shed some light on it. And connected to that, you already said you canceled the Sunday delivery for the parcels. Has that had an impact on the domestic volumes in the first quarter?
Linde Jansen: Yes. Well, maybe to start with your question on the international volume and the domestic volume, what you see is that, well, clearly, Dutch consumers when spending their money on e-commerce, they do that more from international clients, international platforms versus the domestic players. And that is a trend which we have been seeing already for a while and also which is market dynamics, so not necessarily PostNL specific. On your second question, maybe. Yes.
Pim Berendsen: Yes. Certainly, I don't know -- I don't have an absolute number but surely because of the fact that we stopped Sunday and we still have those volumes fourth quarter, it did impact partially your domestic growth rates, although I don't think that's that material in terms of volume. The reason why we stopped it is that, let's say, it was significantly loss-making and we didn't get any firm commitments from customers to increase or expectations to increase that volume on Sundays. That's why we basically taken this out. But at the same time, that also had a negative impact on your average price per parcel because there, the price points were obviously also higher. But again, I don't think those are material for the markers on volume and average price per item for this quarter.
Unidentified Analyst: But it does show the difficulty you have at the dilemma of making choices. If you someday...
Pim Berendsen: It wasn't the dilemma because at the end of the day, the gap on value was so significant and the likelihood that we could get more volumes in so remote that to me, this is a good call to make and leave that to somebody else then. So it's definitely value over volume.
Unidentified Analyst: Yes. The other question I had is the international volumes, was that predominantly China?
Pim Berendsen: The cross-border volume. Yes, that's predominantly. Not only but predominantly. Basically split about the biggest Chinese web shops that you're aware of. So TMG and so on.
Unidentified Analyst: And as you said, there's no front-loading going on right now in view of the…
Pim Berendsen: No. What we really see is that they are still not giving up that big market for them and find ways to get local to local done, maybe go through Latin America. There are still a fair amount of questions. So at this point of time, we don't really see them directing marketing campaigns to Europe, yet. To say that it cannot happen but currently, they are still doing whatever they can to sell it as big as they can as part of that U.S. market.
Unidentified Analyst: Okay. Final question from my side. During the previous presentation, you said you were going to step up the investments in the European cross-border trade. Have you -- anything to report there yet?
Linde Jansen: Well, what we see is we see also there the positive signs from that strategic initiative. So we see a good performance over there and also in line with what we planned for. So yes, that is in line and contributing as hoped.
Unidentified Analyst: How does that compare to the rest of the Parcel division?
Pim Berendsen: Well, at this point in time, it's not accretive yet. What we also indicated that we do expect in the year a €5 million to €10 million negative impact on normalized EBIT because of the steps that we've taken. So in this quarter, I would say, roughly €1 million to €1.5 million on the Parcel segment relates to kind of front-loading those decisions and already taking costs for that expansion in both Belgium and Spring Europe. But over time, as I said, we do expect the same impact as we said on February. We're happy with the progress that we're making. Growth in Europe for spring is really, really great. So I think that gives us a good chance to see revenue growth coming from other areas than just kind of the domestic e-commerce-based business.
Unidentified Analyst: Yes. So did you see any positive impact from the strikes that hit Bpost in Q1, because they were quite significant and I mentioned that volumes went to competition?
Pim Berendsen: Yes. Yes, a little bit material, I don't really know. So if we talk about Belgium and then Belgium in total, so domestic flows from the Netherlands to Belgium, cross-border flows to Belgium, then we saw growth beyond the market growth. But I don't think that it's been impacted that much by those strikes, might be a bit but not significantly more. I don't have a number.
Unidentified Analyst: And just to confirm, the Asian web shops, the yield measures will kick in, in Q2. So there were no price increases yet on the Asian shops. Correct?
Linde Jansen: Yes, correct.
Pim Berendsen: And then [indiscernible] of the price points that you saw in first quarter are realized on other clients.
Unidentified Analyst: Yes. And maybe then coming back to your full year presentation, there was a slide in there where you showed the development of the Mail business, if you would not do anything, or if there would be a change in D+2. And if you then see the trajectory of that graph, including that D+2 approval, et cetera and the measures taken in the longer term also, you see that in '25, '26, there's only a small deviation, let's say, €10 million, €10 million if I do a bit of the measurements on the graph. And then all of a sudden you off in '27 to a big plus in '28. What makes that graph all of a sudden comes from, let's say, a big minus, let's not put a number to quite a big plus. Is that going to a D+3? Is that the key for the savings from just getting approval from the ACM now seem to be rather small because it's a small part of your volume going into D+2 because most of it is already done? Can you maybe explain a bit more?
Pim Berendsen: Yes. The slide before that famous graph tried to explain, Mark but let me...
Unidentified Analyst: Slide 29.
Pim Berendsen: Yes. But I say look at 28, then the answer is partly there. So what will happen is, yes, we can take cost savings if we can go to D+2. We already are taking those cost-saving measures and are part of 2025 for the business mail because already, we have migrated 70% of business mail to D+2 at this point in time. That will contribute roughly, I would say, for now, around €7 million of cost savings in the year 2025. That part, you cannot migrate again. So what you can subsequently migrate in '25 to '26 is the remaining 30% of that part. And then it's depending on what moment in time can you migrate the USO part. So that already impacts your '25 to '27, '26 phasing. The big change is if you can really go to day plus three because then you can take out your off-peak days completely. That is the biggest contribution to cost savings. And that leads to the step-up of cost savings from €40 million to €45 million to €80 million to €100 million on that graph.
Unidentified Analyst: So that's on top. So it's €4 million, €5 million and another €40 million, €45 million and €80 million that's...
Pim Berendsen: Yes. And that is the big change. And you need then if the conclusion is, do you need to go to D+3 in this regulatory framework to get to positive numbers again? The answer is yes. So if we are stuck at the D+2 surplus level, we'll not get to positive numbers.
Unidentified Analyst: You feel comfortable that the government will?
Pim Berendsen: This is the plan that we've presented. Where are we in that process? We expect within the next couple of weeks, a report out from ACM based on the research that they are asked to do. Then we expect, of course, that the Ministry of Economic Affairs will make up their own mind and we still envisage a discussion in par before summer resets. And by then, I guess we would have more clarity on the phasing elements of these elements and whether or not D+2, D+3 is both in that draft postal law, yes or no. We believe it should be. And that's also why, in the meantime, before we get to a change in postal law, we've put that financial contribution request on the table now for '25 and '26. But if the line stays a line below 0, I think you can guess what we'll do.
Unidentified Analyst: Blue -- that orange line does not include compensation.
Pim Berendsen: No compensation included nor in the orange line nor in our outlook.
Linde Jansen: Then let's go to the people in the call. Operator, could you please explain the procedure for questions via the lines?
Operator: [Operator Instructions] We will take our first question and the question comes from the line of Michiel Declercq from KBC Securities.
Michiel Declercq: The first one would be on the yield measures at PostNL and you already talked about it a bit that you're currently in negotiation phase and I understand that you cannot disclose a lot on it. But can you just give some qualitative comments on how these higher compensations, how they have landed, or how they are landing, how this is interpreted by your customers and if there is maybe a reaction from competitors as well to that. So that would be the first question. The second one would be, for me, it's still a bit unclear on the PostNL volume. I understand, of course, the 2% to 3% phasing and timing effect. But with the yield measures expected to accelerate in the second quarter, volumes, I assume, would drop then. I'm still puzzling a bit how you would then get to this 1% to 3%? Or is there also a positive phasing effect from calendar days in the second quarter? That would be my second question. And then maybe lastly, on the cross-border and the spring business, it's, of course, a lot of inbound and outbound into the Benelux. But if I'm not mistaken, in spring, you also have the non-Benelux to non-Benelux volumes. I was just wondering if is there any direct volumes between China and U.S.? And if you could maybe quantify this because this would then have a lot of direct impact instead of the rerouting trends which are now a bit more uncertain. Those would be my questions, please.
Linde Jansen: Yes. Well, let me start with answering your second question on the growth, the growth volume you are referring to. So indeed, the overall growth is 2% and taking into account the effect of working days, yes, you would then come around 4% to 5% which is also in line with the assumed total market growth. What we have mentioned in the -- in our outlook and also at the beginning of the year is that given the yield measures which we are taking and also what we talked about before, we expect there to be a step down in that growth because of the yield measures we are taking and therefore, resulting in the 1% to 3% growth which we are referring to. And that gap is then the assumed market share loss which we are anticipating because of these targeted yield measures which we are taking. Maybe on the negotiation side, so on the developments there, maybe--
Pim Berendsen: Yes. Well, let's say progressing. Difficult to be specific here. I, of course, appreciate the question. But let's say, I'm positive about the progress. You will expect them to be slightly distracted by what happens in the U.S. because, of course, they are significantly impacted as a company because of all of that. So some of these conclusions are not -- or negotiations have not concluded because of that fact, not particularly because of the position we take but just by the destruction that gets to them. So positive about the progress. Addition to Linde's point, maybe is that, to be clear, that also means that if we expect market share loss, it will be share loss driven by that international volume. So not on your domestic percentage points but on your international because the yield measurement discussions that we just had for this quarter focus predominantly on that flow. Maybe on the cross-border question, then, yes, there's a bit of U.S., not necessarily only China but we do have trade lanes from the Netherlands or from spring origin countries to the U.S. That trade lane is not that big and that's also why we said we do not expect the impact of trade wars as a consequence on those trade lanes to be material enough to walk away from our full year outlook.
Operator: [Operator Instructions] Your next question comes from the line of Marco Limite from Barclays.
Marco Limite: So the first question is on recent press about one of your largest retailers, let's say, stepping up efforts to setting up in-house deliveries. So yes, just any comments on that would have been your latest discussion of that? Second question is on the state compensation. I mean, is there any timing you expect for a final decision on the compensation for '25 and '26? And third question is just a follow-up on your outlook for parcel volume growth. So international volumes grew a lot, especially towards the second half of the year last year. So if we have a slower international volume growth in the second half of this year because the comps become tougher, do you expect basically domestic volumes to accelerate? Or do you expect a very similar split in terms of growth as of Q1 for the rest of the year as well?
Pim Berendsen: Thank you for your questions, Marco. Well, the first point is related to the news article that was in the Financial Times, the Dutch Financial Times which really relates to a part of bol.com. The way we look at it is there's a very strong strategic partnership between PostNL and bol.com that's there already for quite some years. And that is a very strong partnership that works both ways. We were aware of the fact that Ampere which is the part that is referring to, is testing and piloting in some parts of the country, home delivery. The size and scale of these elements, in our view, don't change the logic of the strategic partnership that we have with Bol. So I don't expect any material impact because of that. On the second point, the state composition, is there a timing? The answer is yes and no. There's no formal required written deadline in legislation. At the same time, we've put forward a deadline in our request and basically asking for a resolution and decision on it prior to our half-year numbers. So roughly speaking, end of June, beginning of July. That's what we've set out. We believe that's a realistic and reasonable time frame and we do expect the Ministry of Economic Affairs to take their view and we need to wait for that.
Linde Jansen: And then on your last question with regards to the impact of the international volumes and looking forward. Well, also, as Tim mentioned before, the impact of global trade and what will happen and the consequences thereof, it is too early at this point in time to say anything about that at this point in time, we are comfortable with our outlook for 2025. And yes, we are agile and we'll adjust if needed.
Marco Limite: Can I add 2 quick ones? So the first one is, what is your exposure to Bol.com? Or what's the amount of your domestic volumes coming from that retailer, number one? And then also another question, you think that despite you have kept the outlook for '25 unchanged, now the outlook is a bit more back-end loaded compared to your expectations in February?
Pim Berendsen: No, it's not more back-end loaded. It's a backend loaded. Bol.com is our biggest customer. But as said, we really talk about fractions of their volume, really small, think about 1%, 2%, 3% of their total volume that potentially might be served through Ampere for home delivery. So it is our biggest client but the size of the risk that they on scale take a lot of those volumes for self-distribution is very limited. And quite frankly, I also really don't see the logic why they would do that, given the partnership that is in place and also what it takes to be able to deliver parcels at scale in every household of the Netherlands.
Operator: We will take our next question. The next question comes from the line of Stefano Toffano from ABN AMRO.
Stefano Toffano: Apologies for the first question because it's another one on a little bit related to what my colleague, Marco, was referring to. I understand and you are not worried about now the volumes that bol.com might be take on it so to deliver. But aren't you a little bit worried on the trend? Because I mean, there are examples of other players who had a large client which started slowly but then 3, 4 years down the line, that 2% became a little bit bigger. And then they started to ask for some, yes, lower prices. So basically implying that bol.com's position will become a little bit bigger in the future. So aren't you a little bit worried on that? Because it seems to me you are a little bit too relaxed on this news but maybe I'm overstating this completely. And the second question is, you mentioned that it is encouraging to see evidence that consumers are increasingly finding the way to out-of-home options, also mentioning the locker solutions. Can you maybe tell us a little bit on that and what you're seeing right now and the progress on this? And the last one is a more technical one. I mean, last year, CapEx '24 was much lower than '23. And if I look at the Q1 CapEx, I see €26 million last year, €24 million this year. Obviously, the €2 million. But is this lower year-on-year CapEx an indication of the rest of the quarters?
Pim Berendsen: All right. And go back to the first point. I don't think I'm too relaxed about it. I would say we're educated about what happens in the market. We know what type of models parties can apply. But at the same time, we also know what it takes to distribute 1 million parcels. That's not easy. So if you want to grow a parcel delivery yourself, it is asset-heavy. As you know, you'll need men, women, vans and sorting capacity. So this is not something that will turn to scale quickly. Are we following it? Yes, of course. Do we expect some clients to take those steps, maybe to create leverage or put pressure on the terms of negotiation, could be the case. But the question was, are you worried about the development put in that news article and then my answer remains the same. It's actually also not a Bol.com spokesperson that said something there. So we follow this. I'm not relaxed about it. But at the same time, I do not expect a material impact of it.
Linde Jansen: Yes. Maybe on the APL or your question on your APL progress. Well, there, we see that as part of our strategic initiatives, we see good progress there with a continued high NPS score of plus 46 for the automated parcel lockers. And we also see that already 7% of our users of the PostNL app are choosing APL delivery as their preferred option. Also, from the implementation side, or let's say, placement of the APL, the automated parcel lockers that is progressing according to plan and as such, on track according to our initiatives.
Pim Berendsen: On the CapEx guidance, we've given a bit of guidance in February about this, basically saying slightly higher than 2024, also driven by roughly €15 million of investments that do relate to the 5 strategic initiatives that we, at that point in time, introduced. So this remains the full year CapEx outlook.
Operator: We will take our final question and your final question comes from the line of Frank Claassen from Degroof Petercam.
Frank Claassen: I've got one question left. You've indicated that you are agile and willing to adjust plans if things deteriorate in the course of the year. But can you elaborate on what you are referring to? Are you referring to more cost savings or accelerating cost savings? How flexible are you with that? So yes, what are the, let's say, the game plan if things would deteriorate?
Pim Berendsen: I think we said agile in both directions and not necessarily only in case of deterioration, because there's also potential outcomes where there could be more volume coming our way, depending on the choices that Asian web shops make on how they look at Europe. So it's not necessarily only one direction. And it means that we'll look at the options that we have to scale network capacity or to increase the utilization in certain parts of the year and also that applies downward. If we see volumes coming down versus expectations, what we always do is think about the composition, do we leave all depots open for first and second sorting, yes or no? Can we take capacity out to adjust for volume losses if they occur? Those are the bigger elements there that we refer to. Likewise, yield management plans, if more volume comes your way, what are you going to do price-wise to accommodate that above and beyond what is already committed? So there are also commercial elements to this agility.
Operator: This concludes the question-and-answer session. I will now hand back to Inge Laudi for closing remarks.
Inge Laudy: Well, thank you all for participating in our analyst call for Q1'25 and we'll see you back somewhere in August, August 4. Thanks.
Linde Jansen: Thank you.
Pim Berendsen: Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.